Operator: Good afternoon, and welcome to ALFA's Second Quarter 2021 Earnings Conference Call. [Operator Instructions]. Now I would like to turn the conference over to Mr. Hernan Lozano, Vice President of Investor Relations. Mr. Lozano, you may begin.
Hernan Lozano: Thank you, Hector. Good afternoon, everyone, and welcome to ALFA's Second Quarter 2021 Earnings Conference Call. Additional details about our quarterly results can be found in our press release which was distributed yesterday afternoon together with a summarized presentation. Both are available on our website in the Investor Relations section. Let me remind you that during this call, we will share forward-looking information and statements, which are based on variables and assumptions that are uncertain at this time. These uncertainties include, but are not limited to, ongoing risks related to the impact of COVID-19. It is my pleasure to participate in today's call together with Eduardo Escalante, ALFA's CFO; Carlos Jimenez, ALFA's Senior VP of Legal and Corporate Affairs; Roberto Olivares, Sigma's CFO and representatives from each ALFA company. I will now turn the call over to Eduardo.
Eduardo Escalante: Thank you, Hernan. Good afternoon, everyone. I hope you and your loved ones are remaining safe and healthy. We are pleased to report the strong results and double-digit revenue growth in all businesses during the second quarter and record consolidated EBITDA in the first half of the year. ALFA continued to deliver on its financial, operational and strategic goals. Looking back, it has now been 1 year since the pandemic had a major impact on company performance. We have come a long way since then, thanks to our team's effective response to the crisis and the resilience of our core businesses, even embarking on a transformational journey to unlock ALFA's great value potential. Let me begin with news on the NAFINSA Trust. I am very happy to inform you that we finally obtained all regulatory approvals and completed the required amendment to expand the maximum NAFINSA Trust threshold to 75% of ALFA's shares outstanding. Based on figures from the fiduciary, foreign investors held 50.26% of outstanding ALFA shares on June 30, 2021. The approved threshold of 75% provides ample room for foreign investors to continue investing in ALFA. Going forward, we will make every effort to restore ALFA's inclusion in key indexes as soon as possible. We greatly appreciate the larger participation of foreign investors in our company and reaffirm our commitment to continue actively unlocking shareholder value. Now for a brief overview of consolidated second quarter results. Net sales were $3.7 billion, up 34% year-over-year, and 10% quarter-on-quarter. This good performance was primarily driven by higher prices and volume growth at Alpek as well as a better-than-expected recovery from Sigma's Foodservice channel. Sigma also benefited from favorable foreign exchange trends, particularly a stronger Mexican peso. EBITDA of $496 million was the second highest quarterly figure for ALFA since 2019, largely supported by strong results at Alpek. This including $48 million in extraordinary gains at Alpek due to the rise in oil and feedstock prices. On a comparable basis, EBITDA was $449 million, up 34% versus 2Q '20, driven by gains of 51% at Alpek, 17% at Axtel and 15% at Sigma. Moving on to the main drivers of the good performance in the quarter. On the macro front, global economy activity continues to recover at a rapid pace, pushing commodity prices higher. However, the commodity-related effects are mixed for ALFA with rising oil and feedstock prices being favorable for Alpek, but higher pork and poultry prices causing unexpected pressure for Sigma. Alpek continues to deliver strong results, driven by organic volume growth, better-than-expected reference margins in its 2 business segments and the recent styrenics business acquisition. At Axtel, value-added and digital transformation services of enterprise segment customers as well as third party revenues in the infrastructure units more than offset government segment underperformance. It has been very encouraging to see a significant acceleration in the acquisition of new projects since March as demand for comprehensive digital transformation engagement and strength in the ongoing economic recovery. I will now turn the call over to Roberto Olivares, Sigma's CFO, to discuss the company's second quarter results and progress on the strategic initiatives in more detail. Please, Roberto?
Roberto Olivares: Thank you, Eduardo. Good afternoon, everyone. I am pleased to provide an update on the business, comment on our operational and financial results and present additional information on the progress of our strategy. During the quarter, we achieved record second quarter revenues of $1.7 billion, up 16% year-over-year and 6% above 2019 pre-pandemic levels. Revenues were driven by a faster and stronger Foodservice channel recovery as well as a positive foreign exchange environment. Our operations in Mexico, the U.S. and Europe posted the highest second quarter revenues. In local currency, revenues increased 6% when compared to the previous year. EBITDA reached $182 million, up 15% year-on-year and 5% above pre-pandemic levels. Record second quarter EBITDA is supported by strong overall results in Mexico, Europe and Latin America, 48%, 52% and 12% above year-on-year, respectively. EBITDA positive results were partially offset by a 41% decline in the U.S., attributable to temporary pressures in margin due to raw material cost impacts and a higher comparable base in the region due to a pantry loading effect. In local currency, consolidated EBITDA increased 9% when compared to the previous year. As previously mentioned, during the second quarter of 2021, raw material costs experienced pressures from inflationary trends. These trends were further impacted by a higher feed cost, supply disruption, a stronger food service demand recovery, labor shortages in the U.S. and increased freight cost. We will continue to actively implement revenue management initiatives to protect margins in response to these factors. For example, average prices during the quarter were 5% higher year-on-year in local currency; 1 year after the lower sales in our Foodservice channel, Foodservice EBITDA achieved an 11% growth above pre-pandemic levels, even though revenues remained 17% below. This is the result of successfully implemented tangible cost and expense saving initiatives and other optimization efforts as well as a positive exchange rate environment.  Despite raw material cost headwinds, second quarter and first half revenues and EBITDA are on track with our guidance. Understanding consumer preference is a cornerstone that guides our innovation efforts. We constantly look for new alternatives to strengthen our offerings to meet growing consumer demands. Through our iterative innovation process based on design thinking, we launched over 320 new products so far in 2021 and more than 1,400 products in the last 6 months, which represent 10% of our revenues. During the quarter, we continued to take firm steps in developing new sources of revenue to enhance growth. We completed a deep consumer insight program to provide a unique plant-based platform in the U.S. and Europe focused on organoleptic characteristics and nutritional profiles. Also, significant progress was made to begin the rollout of our plant-based products under a new global brand as well as ongoing consumer research to identify target consumption of patients to launch a global snacks brand. Initiatives at our growth-based units also consider leveraging our existing distribution networks. Three potential partners have been identified and selected to begin the commercialization of third-party products for the U.S. Hispanic market, with exclusive distribution contracts under negotiation. Our 2020 sustainability report is now available at our website. This report includes the progress made by Sigma Sustainability Community formed by a multi-sustainability team, who in addition to their day-to-day activities are responsible for the implementation of diverse initiatives to reach our 2025 sustainability goals. It is important to mention that 60% of the energy we consume globally comes from cleaner or renewable sources. Also working towards a circular economy, we have avoided more than 5,300 tons of virgin plastics since 2019. In these challenging times, we support those most in need through our food donation programs. Since 2015, Sigma has donated more than 18,000 tons of food, equivalent to over 150 million servings. We reaffirm our commitment to maintain an investment-grade status throughout ALFA to unlocking value strategy. During the second quarter, Sigma's net leverage was 2.4x, supported by a continued solid EBITDA performance and improvement in net working capital and a slower CapEx deployment. We cannot be prouder of the determination and effort the Sigma team has put in to overcome each obstacle faced throughout the pandemic, but the fight is not over and we must keep our guard up. At Sigma, we're passionate about bringing you the favorite foods you grew up with and introducing you to the new favorites you'll pass down to future generations. I will now turn the call back to Eduardo for additional comments and closing remarks. Thank you.
Eduardo Escalante: Thank you, Roberto. Next, I will comment briefly on 3 key topics: our upwardly revised 2021 guidance, progress with our unlocking value strategy and ESG. Starting with guidance. We are very pleased with the positive momentum over the last 12 months, especially the strong performance year-to-date. In turn, we are raising our 2021 EBITDA guidance to reflect additional upside driven by extraordinary performance at Alpek. On a consolidated basis, EBITDA guidance was revised upwards 8% to $1.8 billion from $1.6 billion. As you may recall, this is the second increase in guidance this year. The revision was driven by a 17% increase in Alpek's EBITDA guidance supported mainly by higher margins and a $70 per barrel average Brent oil price environment, up from the previous Brent price assumption of $63. Additionally, we have increased our CapEx guidance by 19% to $628 million. This compares with $588 million previously. The increase was driven by the higher CapEx guidance from Alpek, which takes into account the company's latest recycled PET plant acquisition. We maintain discipline around CapEx with individual companies investing in projects that are aligned with our individual long-term strategic goals. Moving next for key updates on our unlocking value strategy. Beginning with net -- with debt reduction. Our net debt-to-EBITDA was 2.6x at the end of the second quarter versus 2.9x in 1Q '21 and 3.3x in 2Q '20. The consistent improvement is reflective of better-than-expected EBITDA generation and lower consolidated net debt. We also remain committed to accelerate the leverage process through strategic initiatives, such as the potential sale of Axtel. Updates will be provided in due course. All that can be shared at this time is that the Axtel team remains actively engaged with potential buyers for its infrastructure unit. Focus on core businesses is the second key directive. We are driven to continue boosting the underlying value of our 3 core companies while we achieve the appropriate leverage levels to continue with our plan of separating the conglomerate. Roberto discussed the exciting initiatives being carried out by Sigma focusing on developing new sources of revenues among others. During the quarter, Alpek took a big step aligned with fostering a circular economy, completed the acquisition of carbon light state-of-the-art integrated rPET facility in Pennsylvania, and we affirm its position as the largest PET recycler in the Americas. Axtel remains focused on driving efficiencies to the Axtel Digital project and maximizing project acquisition. The third implementation directive is enhancing business independence. The process for our subsidiaries to gradually achieve independence from ALFA shared services is moving forward. During the quarter, we saw the transfer of personnel based on the results of our joint analysis to allocate corporate capabilities effectively.  On a separate note, we were pleased by the news that Nemak, our first fully independent business, was seeking the required approvals to merge Controladora Nemak and create one single listed entity. It is important to note that this is occurring only 7 months after its spinoff from ALFA. Our capital allocation strategy includes a balanced approach to continue returning value to our shareholders in addition to the great potential from the unlocking value transformation plan. During the first half of the year, we paid cash dividends totaling $124 million comprised of a $25 million payment in January and then $99 million in April. On the ESG front, we have been very vocal about our commitment to the environment, social and governance objectives. Roberto just mentioned that Sigma has recently published its 2020 sustainability report. This is in line with ALFA's focus on having individual reports prepared by each subsidiary. We invite everyone to learn more about how Sigma and each of our companies incorporate sustainability principles and contribute to making this world a better place. One final comment before we open the call to your questions. On July 29, we will be holding an extraordinary shareholder meeting to propose the merger between ALFA Corporativo, our corporate services company, and ALFA, S.A.B., the listed entity that controls the subsidiaries to which corporate services are provided. The proposed merger as well as an amendment to Article 2 of ALFA, S.A.B.'s bylaws are required under the new outsourcing law in Mexico. This matter is not related to ALFA's unlocking value strategy, but rather reflects an effort to simplify our corporate structure and maintain the flexibility to continue providing services to our subsidiaries, while our transformation is completed. This concludes my remarks. We are now available to take your questions. Please, Hernan?
Hernan Lozano: Sure. We would like to begin the Q&A session with questions on ALFA. Eduardo, Carlos and I will take questions on ALFA or corporate matters. Operator, please instruct the participants to queue for questions on ALFA.
Operator: [Operator Instructions]. Your first question comes from the line of Nikolaj Lippmann with Morgan Stanley.
Nikolaj Lippmann: Three quick questions on -- at the ALFA level, if I may. And congrats on the numbers here. On Axtel, clearly, this is the plan A. It's taking a little longer than what some people would hope. Can you talk about the plan B? Is it -- how are you thinking about potentially selling all our assets or some shares in Alpek in order to raise part of the money that you would need to retire some of the liabilities at the holding company. So that's question number one. Question number two, anything you can say about potential fiscal liabilities that would arise from a spin-off of Alpek if you have any news, I would appreciate any kind of color. And finally, it looks like you received at the holding company about $200 million in dividends in the first half 2021. Can you comment on the use of those proceeds? And to what degree that was used to reduce debt at the holding company level during the first half?
Eduardo Escalante: Thank you, Nikolaj, for the questions. And -- let me try to cover them in order, starting with the Axtel timing and then moving into other alternatives. Yes, I absolutely agree with you. I think Axtel, the process of sale of Axtel has taken a long time. After we finished the competitive process at the end of last year, if you recall, we resume activities to attract investors focus on the infrastructure unit -- in the infrastructure unit. These investors did not participate in the last phase of the competitive process last year. Really, I don't think we should speculate on time. It is a step-by-step process. And we are on discussions on -- one-on-one discussions with potential investors. We do not have a strict time line. We will continue pursuing this goal. At the same time, we are looking at other ways to raise capital at ALFA, including the alternatives that you have mentioned before and today. We are certainly looking at selling some nonstrategic assets like the land we own at the corporate level and some nonstrategic assets at the business levels. We are also analyzing several other alternatives to be able to move forward with the unlocking value process. For example, to take advantage of the current level of liquidity in some markets, and of course, it would depend on the evolution of the equity markets. Selling, for example, the majority -- a minority stake of Sigma or a share of Alpek are among those alternatives. In addition, we -- the current net leverage of Alpek 1.3x and Sigma 2.4x. It certainly give us a lot of flexibility to look into some other alternatives. Our Board has been looking into the analysis of these alternatives and will make a decision on the best way to proceed in order to make a recommendation to our shareholders. But we are currently analyzing and presenting to the Board this and some other alternatives in order to be able to proceed as soon as possible. Regarding the fiscal liabilities on Alpek spin-off, certainly, the fiscal front is an important part to take into consideration regarding the Alpek spin-off. The fiscal impact depends on several factors. For example, the stock price of Alpek is very relevant. The recent increase in stock price that Alpek has experienced is very relevant, but also some other factors like the way we do the spinoff. For example, if we do a dividend distribution, we do an ALFA capital reduction for shareholders would have significantly different impact as well as the fiscal treatment that we do or may do with some other transactions at ALFA. For example, the monetization of Axtel. So again, we are working on finding the appropriate way to transfer value to our shareholders and looking at different alternatives of the best way to do the spinoff. And finally, regarding the dividend, we are trying to balance, Nikolaj, the -- a immediate transfer of value to our shareholders via the dividend distribution, like the $124 million that we already paid this year, together with the debt reduction that we are working on at the holding level. Today, at the holding we have roughly $1.25 billion debt level, net debt level. We have 2 bonds, one matures in '24, $500 million and the other one in 2044 as well as $250 million probably, debt in shorter-term bank facilities, mainly revolving facilities. So that's where we stand today. And certainly, those alternatives that I talked about before would be important in order to reduce the debt at the holding company.
Nikolaj Lippmann: Got it. Just to be sure that -- so you spend about $65 million, $70 million in financial expenses. You received $200 million, headquarter costs would be close to $35 million, $40 million maybe for the first half. It seems -- and I realize you do -- you pay the dividend out to shareholders, but it looks like you haven't reduced debt at the holding company level in 2021. Did I understand that correct?
Eduardo Escalante: That is a fair assessment. However, the subsidiaries have not paid in full the dividends that we expect for the rest of the year.
Operator: Your next question comes from the line of Alejandro Azar with GBM.
Alejandro Azar: Congratulations, Eduardo, Hernan, for the results. Just 2 quick questions. One is on your holding SG&A. With announcement of the transfer of personnel between ALFA and the subsidiaries during this quarter, is your target for a low single-digit reduction during this year in those holding expenses remains the same? Or could it be higher given, I don't know, a new assessment from your side? And my second question is on the NAFINSA Trust. Are you in discussions with MSCI regarding an inclusion of ALFA in their indices. Is it possible to share color of when ALFA could be included again in those. Those are my 2 questions.
Eduardo Escalante: Thank you, Alejandro, for the questions. First, regarding the corporate expenses, we are aiming at a double-digit, I would say, high teens, probably close to 20% reduction in the corporate expenses this year. And certainly, in order to achieve that, an important step is what we are currently doing of allowing and helping the companies to be independent from ALFA services. And towards that end, we have moved some people this year from corporate to each one of the businesses. We have been doing that not only since last year, we did it with Nemak and we continue doing it more and more now with the rest of the company. So that goal -- reduction goal that I just mentioned includes these transfers. Regarding NAFINSA, we will work with MSCI in order to be able to return. It's difficult for us to say when the inclusion back into the indexes may occur. But I think it was very clear in MSCI communication, but the reason for us to leave the indexes was the NAFINSA Trust threshold. So now that we have no pending activities to effect the threshold expansion, we think we are in very good shape in order to proceed with the MSCI process. We do not have a time line.
Operator: Your next question comes from the line of Alejandro Chavelas with Crédit Suisse.
Alejandro Chavelas: I am just trying to understand a little bit the issue with the NAFINSA Trust where we are right now. You mentioned in the press release that you already completed all necessary regulatory approvals, but then having a hard time understanding with the NAFINSA Trust right now. Can we achieve 75% foreign investment or when is it expected to happen?
Hernan Lozano: Alejandro, this is Hernan. We had a lot of trouble understanding your question. Could you please repeat it for us?
Alejandro Chavelas: Of course, just to understand, can the NAFINSA Trust today accommodate the 75% foreign investment. Or when is it expected to be the new space for the trust, when is it expected to be available?
Hernan Lozano: Absolutely. I think Carlos could answer that question. Carlos Jimenez, are you on the line, please?
Carlos Jimenez: I'm on the line. Alejandro, the short answer is yes. The process has been fully completed. And the trust has been expanded, so that since last week, the new threshold is 75%. 75% of the total number of shares issued and outstanding.
Operator: Your next question comes from the line of Rodolfo Ramos with Bradesco BBI.
Rodolfo Ramos: Congrats on the strong results. I have just two remaining questions here, and I have a brief follow-up on some of the previous ones. But I missed the percentage. Do you see -- I mean with this change with the merger of the two structures, the Corporativo and the S.A.B. I mean do you have a final estimate on what the impact could be from you complying fully with the new outsourcing. I don't know if you said that and I missed it. That's my first question. And the second one, if I may, you clearly have all of the path on your unlocking value strategy with the sale of Axtel being the next one in line. But when we should start hearing at least about time lines or if you can give a little bit more visibility as to the listing or the spinning off of Alpek, that would be very helpful.
Eduardo Escalante: Thanks for the questions, Rodolfo. First, regarding the outsourcing. We have communicated to the market since our past conference call, we indicated that we were expecting an impact of a low single digit on our EBITDA regarding all the changes that we are doing due to the new outsourcing law, including the restructuring of some legal entities like the one I described previously regarding ALFA Corporativo and ALFA, S.A.B. And we will continue with those numbers. We don't see any impact harder than what we had foreseen before of low single digit in our EBITDA. Regarding the unlocking value strategy and the timing of the spinoff of Alpek. Again, we are looking at several alternatives in order to be able to raise capital at ALFA to reduce the debt at the holding level. And really, we do not have a date for when that is going to happen. And in consequence, we do not have a date of when the spinoff of Alpek is going to take place. Certainly, we plan to do the spinoff of Alpek after we are able to make sure that the remaining companies in ALFA, in particular, Sigma, will have a very solid financial position. We will not spinoff Alpek and leave Sigma with a debt level that puts pressure on the company performance. So we will continue working as I described before in different alternatives in addition to the monetization of Axtel in order to be able to achieve that as soon as possible. Believe me those analysis and the processes is underway.
Operator: Your next question comes from the line of Andres Cardona with Citigroup.
Andres Cardona: Congratulations for the results and for the delivery on the expansion of the Neutral trust. I have two questions. The first has to do with NAFINSA actually. If I understand correctly, Carlos, you said that the Neutral trust was officially expanded last week. Is that correct? And the second one is, if you guys officially announced to MSCI the expansion of the trust only yesterday or you were able to communicate that to them last week as well. And the last question is, certainly, Alpek is having a very strong year in terms of result, way above the original guidance. Have you considered to get an extraordinary dividend payment later in the year as one of the alternatives to reduce leverage at the holding level?
Carlos Jimenez: This is Carlos. Let me address the first question. It was last week, actually on Wednesday that the documentation was signed and the ruling from the CNBV was delivered to us. So since then, the NAFINSA Trust was expanded. I will let Eduardo or Hernan address the second question related to MSCI.
Hernan Lozano: Sure. Thank you, Carlos. Yes, the official announcement, Andres, was together with yesterday's report, where we formally informed the market that the NAFINSA Trust have been expanded. So going forward, we will continue to work with MSCI to get ALFA's inclusion restored as soon as possible, as Eduardo mentioned earlier.
Eduardo Escalante: And regarding the other question, the dividend payment -- additional dividend payments of Alpek. Again, the net leverage of both Alpek and Sigma, Alpek being at 1.3x and Sigma been at 2.4x, give us a lot of flexibility to look into those alternatives. That's also something to take into consideration. And again, it's under analysis, but certainly are among the alternatives.
Operator: Your next question comes from the line of Gilberto Garcia with Barclays.
Gilberto Garcia: I had a clarification on your answer to Nikolaj's question. Did you say that you would consider the sale of a minority position in Alpek or Sigma if the Axtel monetization continues to take longer than expected?
Eduardo Escalante: Yes. What I meant -- Gilberto, thanks for the opportunity to -- for the clarification is that we will consider any of those alternatives that you just mentioned as well as increase dividends as well as selling some nonstrategic assets in order to reduce debt at the holding company level to raise capital. Certainly, the alternatives that you mentioned will depend on external variables like the equity market, the evolution of the equity markets and foreign exchange, et cetera, but even those things are being considered in the analysis.
Gilberto Garcia: Okay. But then wouldn't the -- if you were to sell a stake in Sigma, wouldn't that mean your flexibility in terms of how you can ultimately go from having a conglomerate to just having Sigma?
Eduardo Escalante: Yes. Sigma again would be an alternative, and we have to consider the review -- the effect of reducing the ownership of Sigma versus reducing the ALFA's stake in Alpek. Again, that's part of the analysis that we are doing. But what I would like to convey to you all is that we are open and looking at all alternatives in order to do what is best for shareholders. And certainly, the stock prices of Alpek and Axtel today, we think they do not reflect the strong fundamentals that the companies have in the operations and results. So that's something worth considering. And we will have to look at the Sigma option along then.
Operator: Your next question comes from the line of Scarleth Galindo with Actinver.
Scarleth Galindo: This question is for Mr. Eduardo Escalante. Regarding the Axtel's process of sale that has taken more than 3 years, there is a growing general concern that ALFA has taken too long and might not be able to close the deal with any of the several qualified investors for its infrastructure business unit or even more the entire company. Considering the world indexes are in their highest levels, time is ticking and ALFA doesn't seem to be able to finish the sale. Your guidance has been to improve the value to ALFA's shareholders. So what can we expect from the ALFA's Board and management regarding Axtel's transaction?
Hernan Lozano: Scarleth, this is Hernan. We had some trouble understanding your question, particularly at the beginning. Could you please repeat it for us?
Scarleth Galindo: Yes, of course. Regarding the Axtel's process of sales that has taken more 3 years, there is a growing general concern that ALFA has taken too long and might not be able to close the deal with any of the several qualified investors for its infrastructure business unit or even more the entire company. So considering that the world indexes are in their highest level, time is ticking and ALFA does not seem to be able to finish the sale. Your guidance has been to improve the value of ALFA's shareholders. So what can we expect from the ALFA's Board and management regarding Axtel transaction?
Hernan Lozano: We're having a lot of trouble, I'm sorry, understanding the question. The sound quality is not coming through. Could you try repeating the last part maybe a bit slower, or actually, there's also the option of asking the question via our webcast. That could also be an alternative. But if you like, we can try once again a little bit slower to see if that sound comes okay.
Scarleth Galindo: Okay. If you want, I can write it in the webcast to better understanding.
Hernan Lozano: We would really appreciate that. Thank you very much for the flexibility. And actually, we have a couple more questions coming from the webcast. If we don't have any more questions on the line, operator, we can move on to answer a couple of questions on ALFA that came through via our webcast. Okay. So I'll begin with the first one, which is from Mario Epelbaum with FNY Capital. And Mario wants to know about the real estate alternative. As part of the separation process, there are assets that may be sold at the holding. Real estate is one that the ALFA mentioned. Any updates? Sure, Mario. And real estate is definitely one of the nonstrategic assets that would be up for sale. However, there's not currently an active sale process as we have with Axtel. The focus is currently on divesting Axtel -- in the potential sale of Axtel. And I can see here that you had another question related to the Trust and the effective date. And as Carlos mentioned, that occurred in July 14. So we can come back to Scarleth's question when that pops up. In the meantime, we can now take questions on Sigma. Roberto Olivares, Sigma's CFO, will answer your questions. Operator, please prompt for questions on Sigma.
Operator: [Operator Instructions]. Your first question comes from the line of Gilberto Garcia with Barclays.
Gilberto Garcia: Do you have an SME that you can share with us on the impact from the changes in outsourcing laws in Mexico.
Roberto Olivares: Sure. Hi, Gilberto, how are you doing? Although we did not employ third party service providers as the term outsourcing implies, we did have, as Eduardo mentioned, different entities that provided intercompany services. We will have due to this new law, additional expense in the form of incremental employee profit sharing benefit to be paid during 2022, but provision during 2021. The -- as expressed previously, we continue expecting to reach our EBITDA guidance even when considering this impact in the Mexican operation. The number is very similar to what Eduardo mentioned for the whole ALFA.
Operator: Your next question comes from the line of Alejandra Vargas with Ve por Más.
Alejandra Vargas: Can you give us, please, a little bit more color about which region was the one that has the biggest growth in Foodservice. And also, do you expect the second half of the year as good as the second quarter in this segment?
Roberto Olivares: Okay. Alejandra, thank you for the question. We did see better-than-expected food service recovery in almost all of the regions. But I would say Mexico and Europe were the ones that recovered faster due to the increased mobility as vaccinations roll out. Lat Am may be lagging a little bit due to the strict containment measures. Just to give an example, Mexico, which represents close to 60% of our business, our Foodservice business, had second quarter sales 14% below pre-pandemic levels, but EBITDA 18% above 2019 levels, as I explained in my initial remarks due to higher marginal contribution, better product mix and expense saving initiatives that we continued to implement. As of the second part of the year, we do expect to continue reaching our guidance. And we do that.
Operator: Hernan, there are no further questions for Sigma on the phone line at this time.
Hernan Lozano: Thank you, Hector. We actually do have one question for Roberto from our webcast. And the question comes from Nicolas Fabiancic with Jefferies. Do you have plans for a sustainability-linked bond for liability management? Roberto?
Roberto Olivares: Thank you, Hernan. Thank you, Nicolas, for your question. As of right now, we don't have any short-term plans to issue any bond, although we do have a maturity coming in, in 2024 and then 2026. When we start looking into options and to refinance some of these bonds, we will certainly look into options regarding the sustainability link or a green bond.
Hernan Lozano: Thank you, Roberto. And we have another question coming in from Benjamin Isaac with Brizo Capital. Given the current commodity price environment, how are you thinking about the balance of price versus delivering value to your customers? Are your larger retail partners being flexible on pricing?
Roberto Olivares: I'm sorry, Hernan, can you repeat the question? I had some issues.
Hernan Lozano: Absolutely. No problem. Given the current commodity price environment, how are you thinking about the balance of price versus delivering value to your customers? That's the first part of the question. And the second part is, are your larger retail partners being flexible on pricing. That was the second part of the question from Benjamin Isaac with Brizo Capital.
Roberto Olivares: Thank you, Hernan. So I will say on the first about price and delivery and service, I think it's -- we managed to try to balance both given that the recent raw material increase is something that has happened to almost the whole industry, not just the processed meats and cheese and yogurt industry, but all of consumer goods. I will say that we're doing all the things necessary to be able to increase prices. And retailers are having the same issues from all the other suppliers. So for some regions, we have been able to increase prices faster than others. In the case of Mexico, we have already increased price once in the last quarter, and we're going to increase price again during the third quarter. In the case of the U.S., that also has been having some impacts on raw material costs. We also did increase price in the last quarter and new prices are kicking in by the end of this month. In the case of Europe, we are seeing a different environment given though that China is not importing as much pork recently as expected. Prices in Europe has been trailing down. So we have not seen, particularly in Europe, some pressures. So I think as of right now, retailers have been flexible. They have been hearing us and we're continuing trying to deliver our products to our customers.
Hernan Lozano: Thank you, Roberto. Operator?
Operator: Yes, we do have another question on the line from Alejandro Azar with GBM.
Alejandro Azar: Roberto, I have only one. Sigma has been a story of organic and inorganic growth. With an improving balance sheet in addition to dividends and debt reduction, are you looking at other alternatives in terms of capital allocation, maybe, I don't know, divest of some regions in Latin America and increased consolidation in others?
Roberto Olivares: Sure. So thank you, Alejandro, for your questions. I will say our actions are focused on strengthening our presence in the regions that we operate in -- in all the 4 regions that we operate. As of right now, we're not planning on exiting any of the regions. We constantly look for opportunities that improve the capital allocation for our shareholders. So if there is any possibility, we definitely take a look at that and review that opportunity.
Alejandro Azar: And one more, if I may, Roberto. In terms of dividend, the free cash flow of the company has been really strong and Sigma already paid around $100 million in dividends to ALFA year-to-date. Do you think that it would be fair to say that additional dividends could be expected in the second half of the year in order to compensate for the ones that you did not pay last year?
Roberto Olivares: Thank you, Alejandro. I would say that we do expect to pay more dividends in the second half of the year. Usually, we pay between $120 million and $150 million on any regular year to ALFA. So we do expect to pay more. I will not say -- this will not necessarily imply that we will compensate for the full amount that we did not pay last year.
Operator: Hernan, there are no further questions over the phone line for Sigma at this time.
Hernan Lozano: Thank you, Hector. We can go back to Scarleth's question. Scarleth with Actinver. Thank you very much for sending us your question via the webcast. Regarding the Axtel's process of sale that has taken more than 3 years, there is a growing general concern that ALFA has taken too long and might not be able to close the deal with any of the several qualified investors for its infrastructure business unit or even more the entire company. Considering that the world indexes are in the highest -- in their highest levels, time is ticking and ALFA doesn't seem to be able to finish this sale. Your guidance has been to improve the value of ALFA's shareholders. So what can we expect from the ALFA's Board and management regarding the Axtel transaction? Eduardo?
Eduardo Escalante: Thank you, Hernan. And thank you, Scarleth, for the question. Sorry about the communication problems. We finally got the question here. Thanks. I can certainly understand where you're coming from. And believe me, we have a team comprised of people from Axtel as well as people from ALFA working diligently on these negotiations. And unfortunately, we have not been able to close it. We will continue pursuing this. It has been tough. I absolutely agree with you. But we will continue putting our best efforts towards closing the deal. I think there is significant value in Axtel, particularly in the infrastructure business unit.  We have to remember that the infrastructure unit owns the largest neutral fiber optic unit in Mexico. They do have significant amount of long-term contracts already in place. And in addition to that, we think there is a -- there will be significant opportunities to grow in Mexico. We're already seeing increased demand coming from streaming social media connectivity, IoT, certainly more access from mobile phones. And in particular, we expect with the deployment of new technologies in mobile like 5G, there will be an increased demand for that type of infrastructure. So we think there's value -- significant value there for buyers like the international infrastructure funds or some domestic operators that are operating in the telco space in Mexico. So we will continue working together with both Boards, the Axtel Board as well as the ALFA Board trying to post a transaction. It is very relevant for the unlocking value processes as we point out.
Hernan Lozano: Thank you, Eduardo. And we have another question in our webcast coming from Sylvia Bigio with Itau Asset for Roberto. This is a question for Sigma. You mentioned in the press release that the input cost pressures that hit Sigma's U.S. margins are temporary. Why do you think that these pressures are temporary and they're not here to stay? That's the first part of the question. The second part of the question is what cost hog prices in the U.S. to go up so much? And what are the catalysts for prices to come down. That is the question from Sylvia.  Thank you very much for your questions, Sylvia.
Roberto Olivares: Thank you. Thank you, Hernan, and thank you, Sylvia. Regarding your first question about why we think are temporary. Two things, first, it has to do with our continuous revenue management initiatives include price increases that we expect to reflect by the end of this month. Second, regarding cost, most of the costs came from different factors. I would say food service demand was one and the other, particularly on chicken, was still the low inventory level that we have after the polar vortex the U.S. back in February 2021. With that initial level of inventory that was affected during that event and then the rise demand on Foodservice, the demand was definitely higher than the supply. The thing with chicken and with pork in general is that the production cycle is quite short. You can increase production in just a couple of months, in 2, 3 months. So we do expect prices to correct or normalize by the second half of the year in terms of poultry. In regard to pork, particularly in the U.S., there has been some labor shortages due to the incentives that the U.S. population has received from the government due COVID-19 crisis. This has somehow impacted supply, especially of deboning -- of deboned pieces and that impacted some of the materials. Those incentives are being cutting down in the U.S. state by state. So we do expect plants to start to increase production during the second half of the year. And with that, pork prices to continue to normalize.
Hernan Lozano: Thank you very much, Roberto.
Roberto Olivares: Thank you, Hernan.
Hernan Lozano: Since we have no further questions on Sigma at this time, we can move forward and take questions on Alpek, Axtel and Newpek. From Alpek, we have José Carlos Pons, CFO; from Axtel, Eduardo Escalante, Interim CEO; and Adrian de los Santos, CFO, are available to answer any additional questions. And from Newpek, José Javier Alvaro, VP of Planning and Finance. Operator, please prompt for questions on Alpek, Axtel and Newpek.
Operator: [Operator Instructions].
Hernan Lozano: It seems we don't have any additional questions on the line or the webcast. Is that right, Hector?
Operator: Correct. There are no questions over the line at this time.
Eduardo Escalante: Great. So I would just like to thank very much for everyone's interest in ALFA. If you have any additional questions, please feel free to reach out to us. We would be pleased to assist you. We also extend our best wishes to you and your families to stay safe and healthy. Thank you very much for joining us today, and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you all for your participation.